Operator: Good day, and thank you for standing by. Welcome to the Fingerprint Cards Q3 2023 Results Conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Stefan Pettersson. Please go ahead.
Stefan Pettersson: Thank you very much, and good morning everyone. Welcome to Fingerprint Cards earnings call following the release of our third quarter report this morning. So, we'll start off with a presentation of the report by our CEO, Adam Philpott, and thereafter by our CFO, Per Sundqvist. And if you're following the conference call on the web, you can post your questions throughout the call. And with that, let me now hand over to our CEO, Adam Philpott.
Adam Philpott: Thank you very much, Stefan, and great to be here. I'm pleased to be on my very first earnings call as the CEO of Fingerprints. We've got a huge amount to get through this morning. So, let's get straight into a summary here. Lots to announce. I'm going to talk a little bit about the Q3 results, and then I'm going to spend a good deal of time on our transformation plan. Our transformation plan, as you will have seen from our announcement includes cost optimization, it includes our new strategic direction, and it includes how we're reorganizing and driving governance in the business as well. So, lots of great changes at this company to allow us to thrive in the future. And then, just coming back to the Q3 results, really nice to see 29% year-on-year revenue growth. Our position in our core markets remains very, very strong. But of course, at the same time, as we all know, there are margin pressures in our Mobile business as well. That industry is struggling with excessive inventory. There's aggressive destocking taking place, which has had a negative effect on average selling price and, therefore, on our gross margin, which is one of the key drivers around the transformational program that we put in place. And so, it's really important that we safeguard the future to get us into a place where we can really thrive again as a company. So, I'm pleased to announce today that we're initiating a plan to do exactly that, which also includes a number of restructuring measures. These are expected to effectively reduce our OpEx run rate by about 50%, with the full effect from the second half of next year. It's part of a comprehensive transformation plan. I talked a second ago about what that includes. Strategy, which I'll touch on today, is also very much a key and exciting part of where we're going as an organization as we bring in a new structure, new DNA and a new strategy. Let's move forward and talk then a little bit about Q3 as well. So, as I said, I'm very happy that we've seen great revenue growth, 29% year-on-year. We delivered that in our Mobile, in our PC and in our Payment product groups, so all groups that are very, very core to our business today and moving forward. We also saw good growth in Access outside of Asia. So, a slight decline in Asia itself. We're not seeing as much construction happening there in the Asian market today. So, door locks are being -- are down in volume, but we've seen great growth in the rest of our markets, including Access in the rest of the world, too. So really encouraging to see that, too. We're continuing to see an increase in our share of biometric solutions for PC. That offers higher margins. So, very excited to see that, and it's got good growth potential for the future, too. And we also expect to see continued growth in our Access, and of course, in our Payments business, smart cards and payments being a market that's really still taking off. So lots of future opportunity there, too. However, it does tend to be a little lumpy in some of those businesses. So, I don't think we're going to see consistent sequential growth in all of those areas, but we will see a good trend upwards and to the right as well. As we move to the next slide, we're seeing our order book continue to grow. This is really positive as we keep seeing our order development, more and more orders coming in. That obviously has a really positive consequence on one of the drivers we've been focused on, which is, of course, reducing our inventory, too. We've got a positive trend as you can see there. It started off a very low level. We've seen an ongoing increase throughout the year. So, starting to see that up 16% since the end of Q2. So, a good outlook in terms of continuing to really manage our inventory and, of course, our working capital. And so, talking of inventory, let's go to the next slide. As you can see, again, we're continuing to drive down our inventory, something we've been really focused on. As you've heard, that's a key driver for some of the price erosion that's been taking place in the Mobile market. I think we've done a great job to date in managing our inventory. We've actually done a better job than our competitors. We expect to be at about the right level of inventory by the end of this year. That's what we previously communicated, and we're very much on track for that. However, we do see some of our competitors who are just a little way off the pace on that. So we expect to see continued price pressure into next year there as well. As we then keep going and we look at our profitability, I've mentioned it at the very beginning, it continues to be a challenge in the Mobile business, which is our largest product group. We've seen very, very intense price pressure as a result of those reducing inventories to release cash. We do expect this to normalize for us. I mentioned our competitors are probably more into next year. However, as we start to see that happen, I think we're going to see gross margin get to a more sustainable level. That said, we can't wait. We can't bank on that, which is exactly why we are making these changes in our cost base. It's great that we've got top-line revenue increase, but we need to make sure that profit follows that, and that's why, of course, we're focused on the cost that we have in our business as well. So, let me spend a bit of time then on exactly what we're doing as it relates to our transformation plan, with an initial focus on our costs. And so, for us, focus is the word. It's all about aligning our cost to higher-margin opportunities. Fingerprints remains a company with incredible skills and incredible capabilities that we can apply to premium markets. We're a great player at adding value where our customers need it. And so, for us, it's about ensuring that we're aligning our skills where that value is desired, not in cost-centric markets but in value markets. So, really making sure that we're reducing our cost base and focusing on where we can add a premium as a company. Accordingly, we've initiated a plan for saving SEK204 million annually. That's an annualized number. We're starting now with a full impact by the second half of next year as we see some of the costs associated with that. That will get us to a run rate OpEx of about SEK180 million annualized. So that's kind of where we get through as a company. There are costs, of course, associated with doing this kind of optimization program. Those costs are around SEK62 million. We'll see half of that this calendar year and half of it next year as well. It also includes changes at all levels of the company. This includes leadership changes, in the executive leadership team all the way down into the organization. And of course, this is never easy. This isn't a position that any company wants to be in. But of course, it's absolutely fiscally responsible for us to go and make those changes. And so, it's really important that we look forward as a company. We look forward as a new organization, a simplified organization, an accountable organization. We're moving to a functional organization with the two key pillars, being our technology and our go-to-market teams, everything else supporting that. So, moving to that functional accountable model, bringing in new DNA to align to the strategy that I'll talk about shortly, bringing new governance to make sure we're driving a performance culture and focused on being very agile as a modern company as well. And then, of course, adding new markets, looking at how we expand with our existing capabilities, but also looking at new opportunities for us, new business models such as software, new channels and partnerships that we can look at and new types of products that can help us focus with the premium capabilities we have in the biometrics market. So, a lot of good opportunities for us, but of course, cost management required in order for us to profitably pursue them. So, let's talk a little bit then about strategy before I hand over to Per to talk about our Q3 results in a little more detail. And really, today, as you look at what we do as a company, we're in the fingerprint sensor. We're a little bit in iris, and we're very much focused on the consumer electronics market. That market is a high-volume market. It's pretty price-sensitive. And of course, some of it has geopolitical headwinds too as you think about the supply chain and the customer base. And that -- if you look at that market, you can see in the chart here, that's about 20% of the overall total addressable market that we can pursue. That's about an $8 billion market. And we're in a very strong position within that market. We're a leader in the segments that we play in, although we are price-challenged in some of them. And so, as we zoom out and think more broadly about how we can apply these incredible capabilities the Fingerprints has, there's a much bigger market out there that we can also pursue as well and a market that values premium capabilities. And so those -- that market includes things like government. It includes enterprise. It goes -- it's financial services, but it's beyond pure financial players moving into retail. It includes health, of course, as well. It includes new technology, new partnerships and new business models. These are opportunities. And you can see from ABI, some of those segments on the right there, of course, very, very addressable opportunities for Fingerprints. But to do that, we need a much clearer strategy, and so I'm really pleased to announce today the Fingerprints Platform strategy. This is our Biometrics Platform that we're pursuing as a company. Instead of having isolated bets, this is about having an integrated and extensible set of technologies, a platform where the whole of that platform is actually greater than the sum of its parts, where the parts of this platform work together in harmony and could be reconfigured in many, many different ways to pursue different types of opportunities and solve different sets of problems with our customers. And so, this is a framework that we'll expand through over time, but we'll start expanding towards this today. But let me break it down for you. As you think about what we do, I split it out into four layers. The first one is hardware. The bottom three is software. And this is really about who we are and what amazing strengths we have as a company today. And it starts at the top with the device layer. The device layer is all about capturing and transmitting a signal, something -- some information that we can apply biometrics to. That might be a fingerprint sensor. It might be a camera. It might be sound. It could be many different types of ways of transmitting a given signal. And so, those are expansion opportunities. Then, as you come into the software there, you look at the modality. Today, we're in fingerprints and iris. Tomorrow, there will be other modalities that we go into, such as face. And these modalities are then about capturing that signal from the device layer, extracting the indicators or features and interpreting it. And then, the next layer, really powerful area and, again, a core strength of Fingerprints is the analytics engine, the analytical layer that we have in this stack. Today, we are very, very, very strong at algorithm, very strong in machine learning with some AI in there as well. And this is about taking the indicators that the device transmits, having applied those indicators through the modality and matching them to an outcome. Today, the outcomes, we match to our identity. And there are different ways that we can do that and different types of capability we can build on that with our analytics engine as well. And then finally, there's the data layer, where we store that information today. It's stored locally on the platform, on the fingerprint sensor, for example. Tomorrow, there are many other ways that we can store that for different types of use cases, different types of outcome. And then, it's not just about us doing all of this ourselves. It's about us being smart about where we build technology, where we buy technology and where we partner for technology in order to deliver the best possible outcome with the most timely revenue and profit for us as a company. And then, all of those different capabilities can be -- can give different types of outcome. We can, today, deliver identity. Tomorrow, we might deliver behavioral outcomes. We might deliver presence outcomes. We might deliver health outcomes depending on the use case we're solving using the ingredients contained within the layers of this platform and then fed through those signal interfaces. So, an incredibly powerful platform that we can expand into starting today. And it's not achieved overnight. This has to be a vision that we can expand to over time. But we will now start to explore and expand into several areas. We will start to explore face and health modalities. We will start to explore AI and the analytics layer. We will start to explore retail and government use cases that we believe we can address. We will explore use cases like FIDO and Know Your Customer, great use cases for the capabilities that we have today as a company. And we'll explore new licensing models and partnerships in order to accelerate the time to value that we have as the company. And so, this really sets Fingerprints up for growth. It means that we can focus with some of the actions that we're taking today to have the right cost base for profit. It means that we now have the right organization to go and pursue this with the right talent. And it also means that we have the right strategy as we think about the decisions we make to pursue this platform and leverage this great company into exciting new markets. So that's a little bit on strategy. I want to come back now to Q3 results. And Per, let me hand over to you to talk a little bit more about that.
Per Sundqvist: Okay. Thank you, Adam, and good morning to everyone. So, let us now move over to the first slide of the financial results section. Let me start by highlighting the fact that the refinancing we completed during September will lower our annual interest expense by approximately SEK30 million or 75% on an annual basis, while it will also increase our financial flexibility. We repaid our bond loan fully in the -- to the end of the third quarter, which means that we also no longer have any restrictive financial covenants. And as a direct result of this, our ability to execute on the restructuring, growth and diversification plans Adam just mentioned has significantly improved and been enabled. Next slide, please. Our revenue increased by 29%, which is to be compared to the same period last year, although we continued to face intense price pressure. At the same time, revenue in our Access area came in weaker due to lower sales of biometric door locks in China. This, in turn, has put an additional pressure on gross margins, given the average selling price is higher in the Access than in the Mobile segment. However, at the same time, we also continue to see a positive revenue development in the PC segment area as the use of biometrics continue to increase in this segment. Next slide, please. This rolling 12 months trend shows the impact on our revenue and margins of the demand drop due to the Chinese COVID-related lockdowns last year. And as you can see, the decline in 12 months revenue trend did reverse this quarter with an indicative increase in the 12 months rolling revenue. We expect to see a gradual upturn towards the historical demand in the mobile phone segment, as well as a gradual medium- to long-term improvement in the growth pattern in the PC, Access and Payment segments. And as a subsequent positive effect, the margins will improve as an implicit -- an improvement due to the price points are better in the growth segments. And as Adam mentioned earlier, we're focusing hard on diversifying our revenue streams further and quicker in order to generate better overall company profitability and cash flow and, thus, lowering our risk and exposure to the Mobile segment. Next slide, please. Operating expenses, including capitalized R&D expenses in Q3 were SEK101 million, which is 17% lower than in Q3 last year. Development costs are SEK13 million, were capitalized during the quarter, which is to be compared with SEK28 million in the same period last year. This also corresponds to 33% of total development costs, which is to be compared to 52% in the same quarter in 2022. As Adam described earlier, we have announced plans to reduce our overall gross OpEx run rate by approximately 50%, which is expected to have its full effect from the second half of 2024. We view this as a necessity in order to safeguard the financial health and long-term future of the company. And we will continue to maintain a strong focus on cash, cost and efficiency improvement as we move forward. Next slide, please. Turning our eyes towards our core working capital, that is accounts receivable plus the inventory less the accounts payable, we end up at SEK153 million at the end of the quarter to be compared with SEK355 million in the same quarter last year and SEK226 million last quarter, a significant improvement. We decreased our inventory by SEK46 million or 23% versus the end of last quarter. We anticipate that we will reach an acceptable inventory level by the end of this year as Adam mentioned earlier. If we then look at the total development of our core working capital in relation to our rolling 12-month revenue, it decreased to 22% from 35% in Q3 last year and also from 35% last quarter, a good cash conversion improvement. Next slide, please. Our cash flow from operating activities in the quarter was negative, minus SEK38 million, compared to negative SEK112 million in Q3 last year, a significant improvement versus last year, albeit still not satisfactory. To be noted is that cash this quarter was impacted by approximately SEK20 million in additional refinancing expenditures due to the early redemption of the bond loan, the convertible bond issue and the rights issue. The bond loan issued in 2021 was fully repaid during Q3. Our cash position at the end of the quarter was SEK198 million versus SEK71 million a year ago and SEK252 million at the end of Q2 in 2023. Thank you. And with that, we are now ready to answer any questions. And over to Adam. Thank you.
Adam Philpott: Thank you, Per. Let's open up for questions.
Operator: Thank you. [Operator Instructions] We will now take the first question, one moment please, from the line of Markus Almerud from Penser Bank. Please go ahead.
Markus Almerud: Yes, good morning. Markus Almerud here. Can I start just asking on the value chain in Mobile? So, you're talking about, your inventories will be normalized by the end of the year. And then you talk about value chain inventories taking a bit longer to normalize. Is it possible to -- two questions related to that. Is it possible to give any timing at all? That's my first question on that. Second, what do you think will happen to pricing and gross margins? Will they not normalize until the whole value chain inventories are out in the system, so to speak?
Adam Philpott: Yeah, thank you, Markus. So, we're talking about the inventory of others, okay? And so that is speculative. So, it's pretty hard to speculate specifically on when that will normalize. As I said, though, we do expect that to happen. I would -- to put a broad timeframe around it, in the first half of next year. But of course, that's based on the insights that we have. What we can control is, of course, what we are doing to manage our inventory. And so, we do feel good about that for the end of this year. I think as we do that, particularly with the cost measures we've introduced today and with the revenue growth that we're seeing, I think that puts us in a really strong position as a company. But of course, we are focused on those profitable projects where we can make real money, not where there's a race to the bottom in terms of trying to release cash. So that would be probably the most I can expand on that. Per, I don't know if there's anything else you'd like to add to that.
Per Sundqvist: No, that's a clear clarification.
Markus Almerud: Okay. Let me follow up just on that a little bit. So, if you talk about you specifically and we talk about price cost rather than price in the market, I would assume that as your inventories are normalized and then you get inputs at a lower price, then price cost for you would also normalize, and then the gross margin will still go up. But do we have to wait for the whole market to normalize for gross margins to go up...
Adam Philpott: Well, of course...
Markus Almerud: ...in Mobile, specifically?
Adam Philpott: Yeah. I mean, of course, there's competitive pressures in the market. So, we get ourselves in a good position from a project-based profitability, based on buying at a good rate. We've got a very strong operational team focused on doing exactly that. But of course, what we don't control is the price our competitors are willing to sell at. So that's why we see there being two elements here. One is normalizing our own inventory, and then one is seeing the market normalizes inventories across the competitive landscape normalized.
Markus Almerud: Okay. My second question is on order intake and order growth. So, orders were up in the quarter and revenues were down in the quarter. If you try to bridge this and expand the reasons behind this? And then, would you expect the normalization of the book-to-bill and what...
Adam Philpott: Sorry, our orders were up. Revenue was up.
Markus Almerud: Yeah, but not sequentially. Revenues were down, and orders were up sequentially.
Adam Philpott: Yeah. Per, do you want to make a comment on that one?
Per Sundqvist: Well, the main reason there is that we are still doing good on volumes, but the price pressure is a significant factor there on the revenue.
Markus Almerud: Okay. Then, on inventories, I mean, they fall down to quite a low level. Historically, they were down to around SEK115 million. And then how much is left? You talk about normalization of inventories towards the end of the year. So, I assume that there is some more to come, but you take quite a big step down already in Q3. What's kind of a normalized level would you say?
Adam Philpott: Yeah. I mean we're pretty close to that now. Per, maybe you can jump in with some more specifics on that, but we're pretty damn close to where we need to be, quite frankly. So, we don't see a ton more to run on this one. But Per, I'm not sure if you want to make any more specific comments on that.
Per Sundqvist: Well, maybe what we can add is that normally, we have a working capital need between 10% and 20% depending on the seasonality of the business.
Markus Almerud: Okay. And then finally, you're probably not ready to elaborate on this, but I'll ask anyway. You take down the OpEx level by some 50%, and you talk about some SEK300 million in operating expenses. Once you are at the normalized stage, and I know that this is difficult because of the mix of the business, but what kind of a normalized, if you're talking about ranges of gross margins that we should expect once everything is out of the system?
Adam Philpott: Per, I'll lean on you for that one.
Per Sundqvist: Yeah. No, historical, as you know, Markus, we've been saying that we need more than 30%. And if you look -- if you are low on gross margins to sort of have a sustainable long-term viable business to fund R&D and other interests and also enable the growth of the business in a good way. And this still stands. And if you see the new segments, they are significantly above that. As time goes by, this will, of course, roll into the business.
Markus Almerud: Okay. Perfect. Thank you very much.
Adam Philpott: Thank you, Markus.
Operator: Thank you. [Operator Instructions]
Adam Philpott: Stefan, anything else that we're seeing coming through as questions?
Stefan Pettersson: Yeah, we can take a couple of questions from the web. So, the first one on organization. Adam, if you could perhaps elaborate a bit more on these organizational changes?
Adam Philpott: Yes, absolutely. I'd be happy to. I think as you make these types of cost optimization changes to an organization, it's really important not just to have a haircut, right, not just to cut everyone universally, but actually seek opportunities to improve the structure of the company as well. And that often means simplifying. It means looking at layers. I look at span of control is a really important one. How many are the ratio of managers to staff? Those sort of things are really important, because what you can then find is a way of simplifying. Because what matters is we treat those people who are affected by this with respect, but also we have an organization remaining, it's a really empowered, accountable and agile organization as well. So, what we've been able to do is simplify that structure. And I'll share that with the team internally today moving to a much more simple structure. I talked about a functional structure where you have a Head of Product, you have a Head of Sales, you have some technology leadership, and then beyond that, you really just have functional support for financial, HR, legal, et cetera. So, really building around accountable leaders to drive product innovation and to drive go-to-market excellence as well, drive a real performance culture. And so, really focused on making sure that we have that empowered, capable organization in place with the right talent and DNA to take us forward, too. So that is pretty exciting, I think, if you drive these changes to move towards that organization. But of course, it's a pretty tough thing to go through in the near term.
Stefan Pettersson: All right. Thank you, Adam. And maybe this one is for Per. If you could try to clarify what growth rate level going forward will be sustainable from a working capital point of view? And what you're doing to get better supply chain visibility to guide the product mix basically?
Per Sundqvist: Maybe if I start with the first one, which I've already alluded to and say that we have a seasonality between 10% and 20% of sales. And with the new margins that will come once we get out of this situation that we are in right now and the new segments are growing, this won't be a problem. We'll be fully self-funded, but we need to get up the volume on those first of all. Secondly, in terms of better supply chain visibility, as Adam already mentioned, we are doing a better job than our competitors already as is. And we have a very transparent structure already as we are right now. So that is really not, I would say, the issue on more on price/mix forecast. Chip crunch that was before that hit the whole market, we have managed that quite well, and we're actually now managing it better than the other ones. Forecast and cash and all of that, we have a very good idea where we're going, especially once we are now through this transition program. So, this is -- from our way of looking at it, this is under control, and it will be managed accordingly.
Stefan Pettersson: Thank you, Per. Maybe another one for you on the restructuring costs at SEK62 million. Is it possible for you to give some more information about these costs?
Per Sundqvist: Yeah. Let's say it's -- first of all, it's, you could say, cross-border cost reduction in the whole OpEx line for us. So that means that over two years, it's going to be approximately half this year and half next year. That has to do with the fact that we have to honor our current contracts with people, and some of them have these types of contracts with a longer termination period. And that staff is our biggest cost base, this is -- of course, is a thing that it will affect us. Second biggest cost base for us is rental costs. And there also are some fixed contracts on other types of costs that we need to renegotiate and they need to work their way out on new levels -- the new lower levels, I might add. So, it's a timing thing, and it will just take time to work through.
Stefan Pettersson: All right. Thank you, Per. And another question on our inventory. The question is, can you compete against competitor's inventory with lower sensor costs now as the cost of goods sold lower on new sensors and as the silicon price is lower than last year when the inventory was built up?
Adam Philpott: Yeah, I'm happy to take that one. I mean the reality is it depends at what price those competitors are willing to liquidate their inventory. Of course, it suggests that there's some opportunity for us to capitalize on lower silicon costs while they remain. And that also helps us then focus our resources on profit rather than pursuit of a race to the bottom in terms of pricing. But similar to my answer to Markus' question earlier, it really depends on what price the competitors are willing to go with their stored-up inventory in order to release cash. So, we've seen some acts of desperation, should we say, out there. And must those continue, I think it will put pressure on, but of course, us doing a better job on cleaning up our inventories, definitely puts us in a better situation.
Stefan Pettersson: All right. Thank you, Adam. Can you also comment a bit on the situation regarding payment cards, biometric payment cards?
Adam Philpott: Yeah. No, happy to. And I've spent time not just with staff since I've joined but also with customers. Over the last three weeks, I've been with lots of customers. I'm actually really excited about the payment card and not just payment card, also smart card because think about it as you put biometrics on a small card form factor, there are many different applications. A great one, of course, is payments, but there are other use cases beyond that. I talked about FIDO, for example, earlier as well. And actually, what we're seeing is that whilst there is consolidation has happened on the mobile phone is a biometric entry point. Actually, there's always been too much. And now as you think about multi-factor authentication, you now have mono-factor authentication by going through the phone. So, there's almost too much trust there. And people are looking for different ways of -- different factors, rather, to secure logical and physical access with. So, as you see, a really interesting opportunity for both payment cards and for smart cards, equally, this is also about choice, is also about how different institutions monetize and own the real estate through which their transactions occur. So, we absolutely see a great market for Payments. That market, as I said earlier, though, is still taking off. It's yet to hit the big time. We expect that to start to happen over time. We're working very closely with all of the major players in that business. I met with them last week and over the last few weeks. And so, we're all geared in a very tight partnership to be able to capitalize on this. The other thing we do, of course, with those players is look to stimulate the market to work with different organizations to drive that business forward. And I met with a number of different providers who have banking clients who are ready to take off as well. So, I think that market remains one that we will focus on. I think it's got a long way to run and has plenty of opportunities, so we're very much in that game. The other thing I would say though, coming back to the strategy I talked about earlier, it's not just about that. It's about having ingredients there that we can leverage for different use cases, of course, as well as we think about having a platform strategy. There are some organizations out there, some competitors who are only focused in some of these markets. And they're probably going to run out of cash as they wait for these markets to take off. So, I think our strategy sets us up really well to make sure that we're leveraging those resources, from some markets applying them to others and are really geared for growth across a number of different portfolio elements.
Stefan Pettersson: All right. Thanks very much. I wanted to check if we have any more questions from the phone line. Otherwise, we have a few more from the web as well.
Operator: There are no further questions on the phone at this time. [Operator Instructions]
Stefan Pettersson: Okay. So, maybe one more question then, a bit related to the payment cards. Adam, if you can comment a little bit on the go-to-market model outside of the traditional areas?
Adam Philpott: Yeah. I'm not -- can you give me a bit more on that question? I want to make sure I answer the right question.
Stefan Pettersson: The way to address the market opportunities outside of Mobile and PC, the more traditional areas where Fingerprints is present today.
Adam Philpott: Yes. I mean I think from our go-to-market, for me, it's about making sure that we get the right balance between the resourcing we have to cover those customers and the credible intimacy and knowledge to do so. So, we have -- I kind of call it a T-shaped model. We have broad go-to-market coverage to make sure that we're working not only with our customers, but also with partners in that community, but then also baked into our model, we have different level of specialization within the talent that we have. So, we have some really strong people on Mobile, some very strong people on PC, very strong people on Payments, for example, some very strong people on Access. And that way, we can get the best of both. You can make sure we offer broad coverage to our clients but also offer the level of specialist knowledge they need. And then, of course, we back that up with our product organization. We are very, very good. And I talked about being a premium provider. We are very, very good at partnering with our customers to codevelop with them, and they really rely on the technical knowledge that we have to help them be successful as well. So, I see that continuing. I would also add that we have a very strong team going out and exploring some of those new opportunities, going out and looking after automotive, going out and looking at government, going out and looking at retail, for example, even new areas like FIDO, of course. So, we have a very good advanced party team, first boots on the ground who get out there and qualify and then help feed into the product organization, what clients are looking for and where we're going there, too. So, you can think about that in two ways. One is getting out there and helping us develop new capabilities by engaging with potential customers. The other is then the true go-to-market in terms of selling our existing capabilities into the market.
Stefan Pettersson: All right. Excellent. And on the automotive sector, do you have any comments on that opportunity, for example, driver monitoring systems in car payments?
Adam Philpott: Yes. So, we are actively engaged with a number of providers in that space in DMS specifically. As most people know, there's legislation coming along these lines, particularly as automotive gears up for an autonomous future. But even now, there's capabilities that are legally going to be required in cars around attention, et cetera. And so, we're in a really nice position to help as you think about identity, so taking our existing capabilities, iris for an identity use case in that space, working with DMS providers. We've done a really nice job with the team in developing that technology. In the past, iris used to be -- used to have a lot of friction. You have to be very, very close to a sensor in order to get a meaningful signal. Our team has done a great job so that in an automotive setting, it works with a high level of efficacy in that environment. And that's just on iris. We absolutely see the potential for our fingerprint in that sector too for things like not just in car payment but also things like the environment around your seat position, gearing it up to how you like to have your controls configured as the identified driver. So, lots of things that we can do using our iris and our fingerprint capability and use cases beyond identity and payment moving to other types of settings that we can potentially do as well behaviorally. So, I see opportunity in the automotive sector. And that's just one of those best that ties into the platform I talked about earlier. If you have a platform approach, then you can take those ingredients and apply them to a number of different bets in a very focused way, focusing on where there's going to be profitability, but that then gives you lots of different areas in which you can drive growth for the company.
Stefan Pettersson: Thank you, Adam. And maybe a final question on the supply chain. If you can comment on if you have a strategy of diversification from dependency on the Asian supply chain?
Adam Philpott: Yeah. I mean that's -- for me, that's good business sense. Any supplier, regardless of geopolitical tensions, will look at having a multi-source arrangement because there are all sorts of different things that can befall a given supplier. So of course, it makes sense to have multiple means of sourcing products. I think China remains a part of that. But of course, we look outside of China for different partnerships as well from a supply chain perspective.
Stefan Pettersson: All right. Thank you, Adam. If we don't have any more questions from the phone line, maybe I will hand over to you, Adam, for any closing remarks.
Adam Philpott: Thank you very much. Well listen, I appreciate the questions for those of you on the call. And as you've heard, a really a powerful quarter announcement from us not just around our top-line growth, which is great to see, but also the things that we're doing to really get profit back to where it deserves to be using the incredible capability we have as a company and then putting ourselves in a really strong position for the future from the strategic perspective and looking at how we not only pursue those profitable market opportunities, but also diversify the way in which we do so. So, lots to look forward to in the future, and appreciate all the questions on the call today.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.
Adam Philpott: Thank you.